Operator: Thank you for holding, and welcome everyone to the Orion Group Holdings Third Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I will now turn the call over to Francis Okoniewski, Vice President, Investor Relations. Mr. Okoniewski, please go ahead.
Francis Okoniewski: Thank you, Jack, and good morning, everyone, and welcome to Orion Group Holdings third quarter 2022 earnings conference call and webcast. Joining me today are Travis Boone, Orion Group Holdings President and Chief Executive Officer; and Scott Thanisch, Executive Vice President and Chief Financial Officer. Regarding the format of the call, we've allocated about 10 minutes for prepared remarks in which Travis and Scott will highlight our results and update our outlook. We will then open up the call for questions. During the course of this call, we will make projections and other forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending awards as well as our estimates and assumptions regarding our future growth, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainty, including those described in our 10-K that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of our future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that adjusted net income, adjusted earnings per share, EBITDA and EBITDA margin are non-GAAP financial measures under rules of the Securities and Exchange Commission, including Regulation G. Please refer to reconciliations and definitions inclusive of the most comparable GAAP measures and reconciliation tables accompanying this earnings conference call within the press release issued last evening. The press release can be found on our Web site at www.oriongroupholdingsinc.com. Also, for additional discussion of risk factors that could cause actual results to differ materially from our current expectations, please refer to our quarterly and annual filings with the SEC, which are also available in the Investors section of our Web site. And with that, I would like to turn the call over to Travis Boone, President and Chief Executive Officer. Travis?
Travis Boone: Good morning. Thank you all for joining. I'm happy to be talking to you for the first time today from this seat. Thanks to Austin for leading the business for the past couple of quarters and for helping me make this transition into the role. He did a great job of setting Scott and I up for success. Also thanks to our people who have endured a lot of uncertainty over the past year or so, and remain committed and kept working hard through the challenges. We wouldn't have a business without them.  I'm very excited to be leading this team at Orion. We have great people, a robust market and opportunities to build our business and grow organically in the coming years. I came here because this company has extraordinary potential, and is uniquely positioned to be so much more than we are today. I've been in the construction and engineering industry my entire life. From my start, working for my dad as a teenager to leading a business with thousands of employees and billions in revenue. I'm well suited and prepared to address the challenges we've seen as a company and refocus our business to build a strong foundation and a healthy future.  Scott and I have spent the last six weeks listening and learning the business with the teams on the ground. We've been in most of the offices and at multiple project sites. We've also been talking to our investors and analysts. We've been soaking in all that we can in order to build the strategy for the next year and beyond. Our confidence in this business comes from the strong base that exists in the markets that we have and will expand into. We will continue executing on operational improvements and know we can deliver strong and predictable results.  My observations have been that we have an environment in our end markets that will lead to successful outcomes. We're winning high quality work and we're winning more of it. We have tremendous people who are loyal and doing very good work every day. And we have opportunities to expand our business. Some of our areas for improvement, we will be working on our processes systems and tools. We will continue focusing on rigor and discipline in both project bidding and delivery to bring in higher margins. We're looking at our costs, and have already identified some ways to reduce our overhead burden. And lastly, we have opportunities to grow and improve with targeted investments into the business.  We have a qualified team to transform this business. We aren't looking at it short term. This is going to take some time to get it right. We are building something that will be successful year-in and year-out for the long haul. We have been working aggressively toward a stronger business with higher returns, and making the necessary investments to achieve success for our business. I'll turn this over to Scott Thanisch, our Chief Financial Officer, to discuss our results for the quarter. 
Scott Thanisch: Thanks, Travis. Before turning to our financial results, I'd like to introduce myself and like Travis, give my first impressions from the six weeks that Travis and I have been on board. I joined Orion because I see a tremendous potential in this company. Having served as Chief Financial Officer of a Texas commercial construction services company and a transport services company, I am operationally focused and I have a passion for this industry.  Over my nearly 30 years as a finance professional, I've been fortunate to work in organizations that recognize the value of finance leadership that is deeply engaged with the operations. Travis and I share this view of the finance functions role, and I'm prepared to apply the same discipline and rigor to my role here at Orion with finance and operations working hand-in-hand to achieve results.  Throughout the past few weeks getting to know the team, I'm encouraged that we have a group of talented finance professionals with the capability and the experience to effectively partner with operations to capture the transformational opportunities on the horizon. Another thing that excites me is the opportunity to transform Orion's business performance by leveraging data to provide business insight.  Orion generates a wealth of operational and financial data in day-to-day operations. World class finance teams can turn data into business intelligence, intelligence that is critical to making strategic and timely moves in a dynamic environment. I believe our finance organization at Orion has the ability to be a crucial business partner, to Travis and to our operational leaders. Throughout my career, my passion has been to create high performing finance teams that helped transform business results. Here at Orion, I will be focused on developing our people, retooling our processes, and aligning our systems to drive value for our business. Over the past few weeks as Travis and I have traveled to meet many of our team members, customers, investors and financing partners, we've heard from our stakeholders about areas where we can improve and we've also heard a great deal of optimism about our business. For me, one of the most impactful of these interactions was our opportunity to join the TAS team in Dallas on a recent Saturday for our annual safety barbecue and awards.  Hearing the passion and commitment of our frontline team members, some of whom have been with the company over 40 years, really brought home our ability to deliver safe, high quality work for our customers. We have the right attitude and the right capabilities. Our focus will be on improving our planning, managing excellent execution and delivering consistent results.  Now, turning to our quarter. Revenues for the quarter were $183 million compared to $140 million in the third quarter of 2021 and $195 million in the second quarter of this year. The year-over-year increase was primarily driven by the contribution of large marine projects that were awarded in the fourth quarter of 2021, higher volume in our concrete segment and the impact of claims and unapproved change orders related to work performed in previous periods.  Third quarter gross profit was $13.4 million compared to $6.6 million in the prior year period. This increase was the result of the claims and unapproved change orders recognized in the quarter, lower discretionary project bonus expense and increased dredging activity compared to the prior year.  Third quarter gross profit was down 6.3% as compared to the second quarter. And year-to-date, 2022 gross profit of 40.5 million is up 18% compared to year-to-date 2021. As a percentage of revenues, gross profit margin was 7.4% in the third quarter, up from 4.7% in the prior year period and in line with the second quarter's gross margin.  Turning to the segments. In the third quarter, the marine segment had revenues of $76 million and adjusted EBITDA of 11 million, equating to an adjusted EBITDA margin of 14%. And our concrete segment had third quarter revenues of 107 million and adjusted EBITDA loss of almost 2 million and an adjusted EBITDA margin of negative 1.7%.  During the third quarter, we continued our focus on closing out concrete jobs in Central Texas. This region contributed less than 15% of our concrete segment revenue in the quarter, but at significantly lower margins than we achieve in other markets. We expect to complete most of the remaining Central Texas backlog during the fourth quarter.  SG&A expenses for the third quarter were $15.4 million, or 8.5% of revenues, compared to $15.7 million, or 11.2% of revenues, in the prior year period. And net income for the third quarter was 0.2 million or $0.01 in diluted earnings per share. Excluding $0.5 million of nonrecurring items, adjusted net income was $0.8 million or $0.02 diluted earnings per share. Third quarter adjusted EBITDA was $8.8 million, representing an adjusted EBITDA margin of 4.8%. This compares to an adjusted EBITDA loss of $0.5 million in the prior year and adjusted EBITDA of $5.7 million and adjusted EBITDA margin of 2.9% for the second quarter.  Turning to our bidding metrics. In the third quarter, the company bid on $1.2 billion worth of opportunities and were successful on $128 million of new work. This resulted in a win rate of 10.5% and a book to bill ratio of 0.7 for the quarter. At the end of September, backlog was $549 million, down from $573 million at the end of the prior year period.  Of the quarter end backlog, 280 million was in the marine segment and 268 million in the concrete segment. We will burn 83% or 456 million of the quarter ending backlog during the next 12 months. In addition to this backlog, there's $39 million of new work that has either been awarded subsequent to the end of the third quarter, or for which the company is the apparent successful bidder. Of this, $36 million is related to the marine segment while $3 million is related to the concrete segment.  As Travis mentioned, our increased bidding discipline is yielding results. We want to win jobs on the basis of our ability to deliver quality, timely projects at a good price, not merely by being the low cost bidder. Our recent wins in both segments are benefiting from this discipline. And we will continue to focus on those opportunities where we have higher job margin potential.  Moving to the balance sheet. The company ended the quarter with $31.1 million of outstanding debt and $2.7 million of cash, resulting in a net leverage ratio of 2.88x adjusted EBITDA as measured under our credit agreement. The company is in compliance with our credit agreement covenants. And at the end of the quarter, we had almost $11 million of available capacity under our revolver. We have initiated discussions with current and potential financing partners as we evaluate options for the extension or replacement of our existing credit facility.  With that, I will turn the call back to Travis for his closing remarks.
Travis Boone: Thanks, Scott. There are a few items about which I'd like to provide an update. As Scott commented, we are continuing our exit strategy in Central Texas which will enable our refocus concrete business to perform better in our Houston and Dallas markets. Our new dredge to Lavaca will be operational and working in the next couple of weeks. This was a major investment for us over the past year or so.  We have a signed purchase agreement for sale leaseback of one of our Port Lavaca properties, which will close in December. We are continuing to make progress with interested parties on the East West Jones property on the Houston shipping channel. We're also looking at ways to monetize some of our other assets to further reduce our debt.  As we turn our attention to delivering fourth quarter and planning for next year, Scott and I and the team will be developing a strategy for this business to facilitate growth, deliver better returns more efficiently and diversify our portfolio to help safeguard our business.  We will be focusing on strong project delivery, discipline decisions on proceeds to make the best use of our BD dollars, continuing to bid with strong margins, expanding our client base, identifying overhead efficiencies, streamlining our systems tools and reporting, evaluating opportunities to assist with Hurricane Ian recovery and capitalize on the IIJA which is the Infrastructure Act as it comes online.  And finally, building contingency plans for supply chain issues and inflationary and recession concerns. I'd like to say thank you to our longstanding customers, suppliers and vendors. Your support of our business and our relationship with you are crucial to our success.  In closing, I'd like to reiterate my excitement about joining Orion and leading this team to reach the huge potential that we have as a company. We have a lot of hard work ahead of us. We have investments to make, and we have some things we need to do better. But I'm very confident in our ability to maximize the potential that we have.  I'll turn it back over to the operator for your questions.
Operator: Certainly. [Operator Instructions]. Joe Gomes with Noble Capital, your line is open.
Joe Gomes: Good morning, Travis and Scott. Congratulations on the quarter.
Travis Boone: Thanks.
Scott Thanisch: Thanks, Joe.
Joe Gomes: So first question, in the press release you mentioned a couple of times about the impact from claims and unapproved change orders. I was wondering if you could kind of maybe give us a little more color or detail how much impact those have on revenues and gross profit in the quarter? And maybe kind of as a follow on to that one, you also had about a 3.4 million gain on disposal of assets, maybe you could just give a little more color on what assets that came from?
Travis Boone: Sure. In terms of our customer contracts, we're not going to comment on details of some of the workings of those. But these were change orders and some claims that we have related to some large projects on the marine side. They were costs that were recognized in previous quarters. So these are essentially the impact of those claims and the margin from those claims flowing through on the quarter. In terms of the gain on sale that is recognized in the quarter, we sold a couple of assets. One was a spud barge, I believe, and the other was a ringer crane, which those were assets that were not being utilized in our operations. And it was a great opportunity for us to turn those assets into cash.
Joe Gomes: Okay. Thank you for that. And the concrete segment, last quarter I know you guys weren't in charge then but Austin talked about how the concrete segment in June had turned profitable and expectations were that in the third quarter, we could see profitability on the concrete segment. And looking again at the press release, it wasn't on an operating income level profitable. Instead, it reported about a 4.1 million loss. I was wondering what kind of change between the second quarter call and the rest of the quarter in that segment was not able to show profitability.
Travis Boone: Yes. So Joe, I think part of that pertains to our business in Central Texas that we've continued to kind of work on, as we said, getting out of that market. We're trying to wrap up some projects and get those completed as quickly as we can, as profitably as we can. But that's continued to be a drag on our concrete business. So that's the general -- the main contributor to that. I would say also that there's some projects that we bid at a while back in the last year or so that we're still wrapping up, that they weren't quite at the margins that we had where we have guidelines now. And I would say we're trying to get those wrapped up as well. So I think it's just continued drag from previous work that we're trying to get out of the pipeline here.
Scott Thanisch: Yes. And as we continue our efforts to exit that business, there are costs that are associated with the equipment and the people --
Travis Boone: The Central Texas business.
Scott Thanisch: The Central Texas business, right. We'll need to reallocate to other parts of our business or find some other way to shed those costs. So that will be a continuing impact as we continue exit. But our plans are essentially to reallocate where we can those assets to much more profitable use.
Joe Gomes: Okay. And obviously, at the end of the quarter, we had the Hurricane Ian come through Florida. I know you guys had a number of projects scheduled to start in the fourth quarter or were started in the third quarter. Just maybe if you could give us high level of detail what kind of impact the hurricane had on your business, either positively or negatively?
Travis Boone: So it was, I would say, neither positive nor negative for the impacts during the storm. We were prepared and braced for the hurricane to hit the Tampa area where we had quite a bit of work going on. Unfortunately for Fort Myers, it took an abrupt turn and didn't hit Tampa as expected. And we didn't have a ton going on in the Fort Myers area, so we were braced for it but were relatively unimpacted and we're back to work pretty quick after the storm went through. We are looking to obviously assist with Hurricane Ian recovery in the coming months and probably years. So we are doing a lot of work preparing for assisting in the recovery down there.
Scott Thanisch: And there's a number of governmental organizations and private organizations that we've been in contact with that we see positive developments coming out of those conversations.
Joe Gomes: Okay. And one more for me, if I may, and then I'll step back in queue. And I know again you guys have -- it's early days in your tenure, but I'm sure you guys are familiar with Kiewit purchase, [indiscernible] let's call it a month, six weeks ago. Just wondering how do you see that impacting the competitive environment for you guys?
Travis Boone: We're still evaluating that. We're not -- Kiewit is a teaming partner as well, as well as competition in some cases, and we're still evaluating whether or not kind of what the impacts to us will be. Obviously, [indiscernible] is a competitor as well. So we've been talking about it. We don't see any drastic change anytime soon. I know there's been very public statements to Kiewit that [indiscernible] is not planning on changing how they operate for the foreseeable future. So at this point, not anticipating major impacts to anything at this point.
Joe Gomes: Thanks, guys. Appreciate the answers to the questions. I'll pass it along.
Travis Boone: Thanks, Joe.
Operator: Alex Rygiel with B. Riley, your line is open.
Min Cho: Hi. Good morning. This is Min Cho for Alex. Welcome, Travis and Scott. Look forward to your leadership in turning and growing this business going forward. I just wanted to get your general thoughts on -- Travis, maybe your general thoughts on the concrete business longer term. I know you talked about more discipline bidding. But are you thinking about new geographies or just focusing on the two in Texas right now and in new industries, different types of contracts, just any thoughts there would be helpful?
Travis Boone: Sure. First of all, let's say we have a lot of confidence in our concrete business. Going forward, I think there's numerous opportunities that we have. As far as the markets go, we will continue to focus primarily on Houston and Dallas. We will be opportunistic in other locations as it comes along if there's opportunities in other locations that makes sense for us. We've got some great teaming partners in that business that if they ask us to come help in another location, we're ready to go. I'll also say that business, we have historically always worked with on private developer-driven projects. My background is heavy public sector experience, and anticipate that we will start working on expanding more into some public sector work to help supplement the private sector work that we do already. And I think that's a big opportunity for us to grow that business in a place that we have historically not worked. So I think there's great opportunity there for us and look forward to helping drive that business in an additional direction.
Min Cho: Okay. And then this is for Scott, kind of staying with the concrete business. As we get through these problem projects and some of the legacy projects that have the lower margins, are you suggesting that fourth quarter concrete margins should see sequential improvement or could it be worse as some of these projects wrap up? Any guidance for the fourth quarter would be helpful?
Scott Thanisch: Yes, I appreciate the question. I think it's probably too early for me to say that there's a significant change in our expectations for the fourth quarter from what you've heard before. I do think that as we roll forward and start to bring on some of the newer work that's been bid at higher margins that will help. We're also, as Travis mentioned in his remarks, looking at ways in which we can lower our overhead costs across the board. That includes in the concrete segment. So those are going to be positive tailwinds that help us. And of course, the thing I mentioned earlier of making sure that we reallocate assets that we shed expenses, that's going to be key for our execution to improve the margins of that business as quickly as we can.
Min Cho: All right. And then also -- I mean the prior questions about the claims, are you expecting any more claim settlements in the fourth quarter? And without them, I'm assuming margins could be a little bit softer in the fourth quarter just overall.
Travis Boone: No, I don't have any specific expectations for claims in the fourth quarter. Of course, it's always a part of our business and it can arise at any time. We continue to work with our customers. And just as in the concrete business, we're very focused on making sure that we're bidding and executing at the right margins. So those are going to be the factors I think that are driving our performance going forward. Change orders and claims, those just kind of go in and out with the flow of the business.
Min Cho: Okay. And you've talked about supply chain. Obviously, there have been some headwinds. Can you give kind of an update on where the headwinds are, or just what the supply chain situation is on the concrete, steel rebar, and how you can mitigate some of this going forward, if you're seeing increased headwinds with increased infrastructure projects coming forward?
Travis Boone: I guess I'll say we don't have any -- other than the general concerns that everyone has globally about supply chain issues, we don't have any specific instances of something that's impacting us currently. There's been some talk in the last few days about diesel shortages and things like that. That's concerning, specifically because it's kind of fresh and new. And we do burn a lot of fuel in our fleet and across our company. So that's probably the one that's freshest on our mind at the moment. We are looking at ways of teaming with some of our partners and vendors to kind of supporting the supply chain and helping them find ways to alleviate these concerns. But we're not -- other than the general concerns that people have globally about supply chain issues, there's not a lot of new or anything we haven't talked about in the past.
Scott Thanisch: Another thing that we're obviously going to be focused on like everybody is making sure that we have appropriate escalation clauses in all of our contracts. So that's an important part of our discussions with future and existing customers.
Min Cho: Okay. And then I think you mentioned a little bit about the East West property. Can you just give us any timing on that, and just talk about how it's progressing?
Travis Boone: As far as timing, I think it'd be pure speculation at this point. But we have made some good progress with some interested parties that we're hopeful on. I know you guys have been hearing this for quarter-in and quarter-out, but it is something that I think we continue to make progress on here in the recent -- in the last few months. We're in a time that selling property is uncertain for anybody with recession and things like that. Fortunately, we have some interest from some parties that would be in a position to move forward even at a time of recession. But we probably won't comment on that too much more. But we're hopeful that we'll be moving towards something here in the coming months.
Scott Thanisch: And we are actively engaged. They conduct their due diligence in answering questions. We're prioritizing that process as much as we can.
Min Cho: Okay, great. Thank you. That's it for me. And good luck, gentlemen.
Travis Boone: Thanks.
Scott Thanisch: Thanks.
Operator: [Operator Instructions]. Julio Romero with Sidoti & Company, your line is open.
Julio Romero: Thanks. Hi. Good morning, Travis, Scott and Fran.
Travis Boone: Hi, Julio.
Scott Thanisch: Hi, Julio.
Julio Romero: I'd like to start by digging more into your thoughts on strategy. You identified some items in your prepared remarks, process systems, better discipline on bidding and delivery. If you could just speak more to what Orion needs to change from an operational perspective, and if you could give us a rank order of sorts?
Travis Boone: Yes, you've heard from Austin for the last couple of quarters about discipline bidding. I think that's something that we're going to be continuing to focus heavily on to make sure that we're capturing the appropriate margins, and we've been at work. We're focusing on quality, not quantity. And so that will continue going forward. I think from the perspective of overhead costs and things like that, that's part of running a business. And every company should be evaluating costs and how we're delivering our business to make sure we're doing it as efficiently and as profitably as we can. So we'll be looking at that pretty heavily here in the coming weeks and months to find ways to do our business more efficiently. And then as far as processes, systems and tools, that's something that we have been working on for some time in our company and got a good head start on it, but we need to get some things kind of finished up over the next year or so, some internal projects on how we do our processes and systems. And so we're working on getting those fully executed.
Scott Thanisch: And I would add that one of the things that's going to be a critical success factor for us is our ability to execute well. And so our project controls, process and the way in which we manage projects, that's something that Travis and I are digging into deeply to see how we can improve that and really deliver our projects in a way that can delight our customers.
Julio Romero: Got it. That's very helpful. Thank you. On the concrete side, you talked about increasing the mix of public sector projects going forward. How do you weigh the benefit of taking on more public sector work for the greater funding certainty I assume versus the downside of potentially lower bid margins on the public side?
Travis Boone: Yes, I think there's a couple of aspects of it, Julio. I think there's not only in times of recession and things like that when developers tend to be a little more constrained on what they're able to do, public sector tends to continue forward through some of that. So it will help us kind of ride out some storm, so to speak, with the economy. And I think additionally, it will help kind of -- again, it's not in lieu of the private sector work, it's in addition to and that will give us another section of business in order to help grow our concrete business in a profitable way, without distracting us too much from our core markets.
Julio Romero: Okay, got it. And you mentioned in the quarter Central Texas made up 15% of the concrete sales. Would you happen to have what that percentage looked like, either on the prior quarter or maybe 2021 in general?
Travis Boone: Less than 15%. And I don't have the number handy, but certainly we can get back to you on that. But the emphasis that we have on the concrete business is going to be to continue that process. It's -- like it is less than 15% of the current revenue quarter, it's I think less than 8% of the remaining backlog. So it will continue to decline. And then we'll push forward in markets where we've been more successful.
Julio Romero: So last year, it made up less than 15% is what you're saying?
Travis Boone: No, I don't have the number handy with me. But I'll let you know on the next quarter, we can give you more detail there.
Julio Romero: Okay, no, all good. And then maybe just last one is just, you might have touched on it, but on the asset sales, just if you could reiterate maybe the expected use of funds there?
Travis Boone: Yes, we used the proceeds from those asset sales to reduce our revolver balances. And so it's now sitting in revolver availability and available to us as general corporate uses might dictate. But our strategy really is to delever the business over time through some of these asset sales. So as we proceed with additional opportunities, I think that's going to be reflected on our balance sheet in that way.
Julio Romero: Appreciate the color, and thanks very much for taking the questions.
Travis Boone: You bet.
Operator: Dave Storms with Stonegate, your line is open.
Dave Storms: Good morning, gentlemen. Thank you for taking my call. Just a [indiscernible] question as for management, Travis and Scott. You have your background in the construction industry. Is there anything that you're seeing, given your background as you're going out doing your meet and greets, but it's just kind of low hanging fruit for you guys to improve on quality in your first 100 days?
Travis Boone: Thanks, Dave. I think one of the things that I've seen is we're a company that is built of numerous acquisitions. And I'll say we haven't been as integrated as I would like us to be in, in the respect of sharing best practices and how we deliver our projects. We have a lot of great people doing great work in multiple markets. And there hasn't been a lot of sharing of resources or processes between the different groups. And I think that's something that we'll be focusing on doing more going forward. I think that's the first thing that comes to mind. I don't know if Scott has something to add to that. 
Scott Thanisch: Yes, I agree with that. And I think that there is low hanging fruit that we've seen in some of our overhead expenses, as Travis mentioned earlier, things where just some renegotiations with vendors, some opportunities to maybe consolidate locations would be able to recognize in a pretty rapid way some real benefits for the business. And that's something that I've told Travis. One of my favorite meetings of the week is the invoice review session that I do with our IT team, because it's a great opportunity to just see how the business has been spending its money and I see ways in which we can spend it better. So there are low hanging fruit opportunities, and we're going to get out there and execute them quickly.
Dave Storms: That's perfect. Thank you.
Travis Boone: And in that regard -- I have one more thing, if that's okay. 
Dave Storms: Yes, absolutely.
Travis Boone: I would say kind of one of the things that we're looking at pretty hard is how we procure materials. I think, historically, we have procured materials by a project-by-project basis. And I think there's some economies of scale opportunities here where we could, for example, whether it's rebar or concrete curing compound, or whatever it might be, think of some opportunities for us to get some good efficiencies by buying more in bulk than we have historically, instead of buying project-by-project, like we have done. 
Scott Thanisch: And that would also help in a time when we're concerned about supply chain delivery to derisk some of our operations as well.
Dave Storms: Perfect. Thank you. So would it be fair to say that a lot of opportunity for growth is more organic than external at this point?
Travis Boone: Yes, absolutely. As we focus on organic growth potential of the business, which we think is tremendous.
Dave Storms: Perfect. Thank you. And then, Scott, this might be a little more for you. As we think about the infrastructure bill and the Hurricane Ian potential for more bids coming up, do we have an expectation on timing for that? Are we going to start seeing that coming through in the fourth quarter, or are we already seeing it? How would that bell curve kind of look?
Scott Thanisch: No. Unfortunately, I don't think we have a strong view on timing. Certainly, there are a lot of elements of hurricane recovery that are going to be more urgently needed than others. As Travis and I mentioned earlier, we're engaged in conversations with potential customers that need those services and I think that there's an opportunity to realize some of those quicker than others. On the Infrastructure Act, that's going to be a long tail as there is just a tremendous amount of money that needs to be spent. It's going to take some time. So I think that that's going to be more of a lift of our business over a period of time that extends out fairly into the medium to long-term range. So they're both going to be able to deliver value for our business, short and long term. And we just need to kind of execute and prioritize appropriately.
Dave Storms: That's perfect. And one more for me, if you don't mind. When you talk about your leverage ratio and your asset dispositions, are you thinking of that from a more point where you want to get rid of certain assets, or are you thinking of it from you want to get your revolver down to a certain spot? Are you thinking of it from assets located in certain geographies that you're more inclined to get rid of? How are you thinking about the end goal there?
Scott Thanisch: Yes. So in terms of our existing debt, I don't think that we're highly levered right now. We have I think a comfortable level of debt. But it is more about making the best use of our assets. And so we have items to be used across both of our segments, where we might be able to share things better and drive utilization higher. And that may free up assets that no longer have use for us. We also have some assets where, as we mentioned, moving out of the Central Texas business, there just may be things that we don't need as we continue to do that. So it's going to be more focused on getting the right asset base to drive the growth of our company forward than it is to hit a particular leverage point on the balance sheet.
Dave Storms: That's perfect. Thank you very much.
Travis Boone: You bet.
Operator: Poe Fratt with Alliance Global Partners, your line is open.
Poe Fratt: Great. Good morning, Travis. Good morning, Scott. Good morning, Fran. Just a couple of quick ones, if you wouldn't mind. I know that you seem hesitant to offer an actual number for the change order impact during the quarter. Can you just give us a ballpark number or what kind of impact from a dollar value standpoint that had?
Scott Thanisch: What I can tell you is it was a significant contribution to our earnings and our revenue in the quarter. And we'll have that from time-to-time as we work with our customers around changes that happen on work that we're working on. So that's about as much as I can give you. But certainly happy to answer any other questions you've got.
Poe Fratt: Yes, okay. So when you're looking at -- you had 100 days or so. You've identified potentially from a cost standpoint some improvements there. Can you just maybe give us a ballpark number that you think as far as what you can squeeze costs down by? And then I noticed the ERP spending was down. Does that imply that the timing of the ERP project is either -- is it either put on hold or you're going to see less emphasis there? It would seem to be integral to integrating the different parts of the concrete business to improve the bidding process there. But can you just give us an idea of sort of what you're looking at from a cost standpoint squeezing costs?
Scott Thanisch: Yes. So in terms of what kind of potential there may be, I could probably hazard a guess but I would almost certainly be wrong. And I don't know if that would be high or low. Because I see that there's a lot of potential but quantifying and figuring out what the cost to achieve those savings might be, that's going to be really the next step to figure out where our priorities are. And as we kind of think about our long-term plans in the business and ERP and where we're spending money there, certainly systems are going to be an important part of how we leverage the data to drive better decisions and execute more profitably on our contracts. And so I would expect that we'll continue to see some investment there. I think that what Travis and I are going to be focused on initially are where we can get some quick wins and that maybe through relatively small investments that can drive a benefit for the business quickly. So, ERP and other spending to drive cost improvements I think will be metered to where we kind of have the ideas and are able to deliver things in a short time that can really benefit the business. That low hanging fruit that we've talked about, we want to start getting a few wins under our belts. So the team gets that experience of winning that then kind of carries forward into performance and looking for all kinds of opportunities that we can improve. 
Travis Boone: Poe, so we've been here just right at six weeks or so in the business and we've been focusing on getting our arms around what all is here. And I think the next step for us will be identifying more specifically what those savings might be able to be achieved. So we'll probably be better positioned here in a few months to give you a better, more direct answers on how much we think we can save. But we have in the short amount of time we've been here, we've learned a lot but we've got some more to go before we could speculate on how much we can save.
Poe Fratt: You just seem to imply that you've been further down the road on that. So if you look at sort of the -- one of the Achilles heels have been in the bidding discipline. Is there one business, or is it both that you think need improvement from a bidding standpoint?
Travis Boone: I think both have already improved significantly, Poe. I think Austin instituted some guidance a while back that has been followed and will continue to be followed. So I think both businesses have made improvements over the past couple of quarters on how we bid our work. We'll continue focusing on that and finding ways to be even more disciplined about how much we pursue, what we pursue, the quality of the work that we're going after.
Poe Fratt: Can you give us an idea of sort of the margin targets that you have for both businesses? And then I'm not sure you have this detail, but for Central Texas, would concrete have been profitable during the quarter, either from an operating standpoint or an EBITDA standpoint?
Travis Boone: I'll answer the first part and let Scott answer the second part. I think from the perspective of competitive advantage, I think it would be foolish of us to start advertising too much about margins and things like that. So I'll hold back on that. I'll say it's -- we're confident that we're bidding projects with healthy margins.
Scott Thanisch: Yes. And in terms of the concrete business and our exit of Central Texas, yes, that's been a drag on the business in the quarter. And in the absence of that drag, that would have been a profitable segment.
Poe Fratt: Great, that's helpful. And then you put in your press release, we've been hearing about Port Lavaca for the last, I want to, say five or six quarters. My recollection was that that targeted -- the targeted proceeds from Port Lavaca were sort of in the 5 million range. Did the scope of that transaction change at all? And did it go from an outright sale to a sale leaseback? Can you just give us a sort of flavor on that? And then also, what's your confidence integral on that closing considering the history there?
Travis Boone: I'm not entirely sure what the previous plans were on the property. What I do know is it is a sale leaseback. We do need that property to operate our dredge business. So we will continue to work off of -- as a leaseback on that property. As far as the scale of it, it's as far as I know has always been more than 5 million. So I'm not sure honestly what historically has been talked about quite frankly, but I think we're confident that we got a good price on it. And I don't know, Scott, there's more do you want to add to that.
Scott Thanisch: I think that it's as you said. We think that we got a good price. It's a good transaction for us. I have a good deal of confidence that we can execute that in a timely way. So that's our focus is really getting that done, and then finding those other opportunities that we can go execute.
Travis Boone: And we do have a signed purchase agreement that says we'll close in December of this year.
Poe Fratt: Okay, great. And then on East West Jones, has the target -- the working assumption there was it would generate in the mid 30s as far as proceeds. Is that still a reasonable target or is it just too early to say because you pretty much had to restart that process?
Travis Boone: We're looking at what we're doing in terms of the marketing of that property with our partner CBRE on that transaction. And so as we kind of move forward and they are engaged with -- the interested parties that we're currently engaged with, I don't know that we're going to make a shift in value other than in response to any kind of negotiation with them. If it were to go longer than that, then we would, of course, reevaluate the current economic environment and our position in the marketplace and determine how we should proceed at that point. But right now, we're just focused on the buyer that we have in hand and trying to get that transaction closed.
Poe Fratt: Great. And just one last one if I can squeeze it in. Your outstanding bid levels or I think you said 1.8 billion, can you break that down between marine and concrete? And then successful bids to date, 36 million on the marine side, 3 million on the concrete side, the concrete side seems a little light so far as far as successful bids, a third of the way into the quarter. Any cause for concern there?
Travis Boone: I think what you're seeing there is that more discipline in bid margin that we're putting in there. It is intrinsically going to lead to fewer wins when we're being disciplined about our minimum bid margin. So we're focusing on working with quality partners and where we have great relationships and moving forward with doing work that is a healthy margin.
Scott Thanisch: And in terms of the outstanding bids and how that mix looks between the segments, it's more tilted towards concrete, maybe two thirds of that outstanding bid total is concrete. But our bid activity is always ongoing. And I would expect that as we report our next quarter, the mix of that bit, our outstanding of bids could change pretty significantly. So the current shift is towards concrete, but we'll see how things progress going forward.
Poe Fratt: Great. 
Travis Boone: Sorry, one more thing I'll add just since we're talking about bids. We are in the process of submitting the largest bids in our history in both concrete and marine currently.
Poe Fratt: The largest bids ever. Can you sort of quantify that on the --?
Travis Boone: No. They're ongoing bids, Poe. I can't talk about them. But I did want to put that out there. We're being aggressive about what we're going after and finding projects that are good fits for us. And these are both great fit projects, and we're aggressively pursuing them. So I prefer not to talk further about it. 
Scott Thanisch: Hope to have good news.
Travis Boone: Later, we can tell you about good news.
Poe Fratt: You sort of dangled some red meat out there. Can you just maybe give us a timeframe on when you expect the bidding to wrap up, or the bid process to wrap up? And are these negotiated situations or are they competitive bid?
Travis Boone: Let's say they're competitive bid. One of them will take a few months for us to know. The other one will be a little sooner than that. And there may be some negotiation on one of them.
Poe Fratt: Got you. So stay tuned. Really appreciate your time. Thanks for your help. 
Travis Boone: Thanks, Poe.
Operator: [Operator Instructions]. David Wright with Henry Investment Trust, your line is open.
David Wright: Good morning, Travis and Scott, and welcome to Orion. I'll try to be concise. Travis, in your remarks, you talked about wanting to deliver strong consistent results. Just briefly, what success a year from now from your perspective?
Travis Boone: From my perspective, a year from now, when we start telling you what we're going to do in the next quarter, and it's having these calls with you and delivering what we told you we would do or better, that is success for me and that's my focus. My goal is for us to tell you what we're going to do and deliver it or exceed your expectations every time.
David Wright: And then that would infer providing guidance, forward guidance. Is that correct?
Travis Boone: I think that as we start to build consistent results, you'll be able to rely on the things that we tell you about the future.
David Wright: Great. Scott, you've just done the sale leaseback. I wonder, are you happy with the company's working capital? Do you need more capital? You talked about renegotiating the line. So are you then looking just for debt capital? How do you feel about working capital?
Scott Thanisch: Yes. So obviously, if we are able to identify opportunities to grow the business, that's going to require some investment in working capital, as you ramp up new projects and grow revenue. Obviously, working capital is a focus of ours. Making sure that we manage it well is important. And as you alluded to, making sure we've got the right capital structure is important. So we're really considering the whole picture as we think about what our needs are going forward and how we want to implement our strategy. But I would just say that working capital as a management effort is always going to be a focus of our finance team because efficiency in managing our assets and resources is how we can improve our margins and be a better business.
David Wright: So do you feel you have enough working capital presently?
Travis Boone: At present, I think that we are able to deliver on our commitments to our customers and we'll continue to move forward like that.
David Wright: Okay. I wanted to ask quickly about the backlog. You've got a large out project with the Space Center. How do you feel about the quality of the backlog with respect to margins? And is the existing backlog going to be a drag over the next year?
Travis Boone: There is some of our existing backlog that will be a bit of a drag as we wrap it up. Some of this work was one prior to guidance on our bids that we instituted. And so we'll be continuing to work through those projects. So it will -- some of those projects have a little bit of a longer tail on it, as we mentioned earlier. So we'll be continuing to work through those projects. And then some of the better margin work that we've been winning more recently will start overcoming the drags that we have.
David Wright: Okay. And then lastly, where are you on completing the 2023 budget?
Scott Thanisch: Yes, so we're actively thinking about next year and working through with our team in developing our numbers for what we expect the business can do. And as we do that, as Travis had mentioned, we're looking at what investments are needed in the business, what expenses we need to incur as the cost of delivering improvements. And so there's obviously a lot of inputs in that process and we're engaged in it right now. And hopefully, when we come back to you the next quarter, we can give you an update that is a little more down the road and gives you better insight into where we're headed.
David Wright: Super. Thank you for taking my questions and good luck going forward.
Travis Boone: Thanks.
Scott Thanisch: Thanks.
Operator: We have a follow-up question from Poe Fratt with Alliance Global Partners. Your line is open.
Poe Fratt: Sorry, I should have asked this before. But can you just refresh our memories as far as the largest bids or projects that have been awarded both on the concrete and the marine side?
Travis Boone: Yes, I think 160 on the marine side. And on the concrete side, I think it would be double digits, 40 --
Scott Thanisch: 40 million range in concrete.
Poe Fratt: Great. Thanks for your help.
Operator: I will now turn the call back over to the management team for closing remarks.
Travis Boone: Thanks everyone for joining and your interest in our third quarter earnings conference call. We look forward to speaking with you again in February to discuss our fourth quarter and year-end results. Have a great day.
Operator: This concludes today's conference call. We thank you for your participation. You may now disconnect.